Operator: Good morning, and welcome to the Zurn Elkay Water Solutions Corporation First Quarter 2024 Earnings Results Conference Call with Todd Adams, Chairman and Chief Executive Officer; Mark Peterson, Senior Vice President and Chief Financial Officer; and Dave Pauli, Vice President of Investor Relations for Zurn Elkay Water Solutions. A replay of the conference call will be available as a webcast on the company's Investor Relations website.
 At this time, for opening remarks and introduction, I'll turn the call over to Dave Pauli. 
David Pauli: Good morning, everyone. Thanks for joining us on the call today. Before we begin, I would like to remind everyone that this call contains certain forward-looking statements that are subject to the safe harbor language contained in the press release that we issued yesterday afternoon as well as in our filings with the SEC. In addition, some comparisons will refer to non-GAAP measures.
 Our earnings release and SEC filings contain additional information about these non-GAAP measures, why we use them and why we believe they're helpful to investors and contain reconciliations to the corresponding GAAP information. Consistent with prior quarters, we will speak to certain non-GAAP metrics as we feel they provide a better understanding of our operating results. These measures are not a substitute for GAAP, and we encourage you to review the GAAP information in our earnings release and in our SEC filings.
 With that, I'll turn the call over to Todd Adams, Chairman and CEO of Zurn Elkay Water Solutions. 
Todd Adams: Thanks, Dave, and good morning, everyone, and thanks for taking the time to listen this morning. And hopefully, everyone had chance to go through the release last night. I'll start on Page 3. To cut right to the chase, we had a solid start to 2024 with Q1 sales, earnings and cash flow, all ahead of our expectations heading into the quarter. From our perspective, the end market view that we've had for 2024 for the last 6 months or so continues to look the same, with steady strength in institutional, some pockets of weakness in commercial and residential roughly flattish with share gains, initiative growth and a little bit of price driving what we expect to be growth over the course of the coming year.
 Our margins and cash flow continue to expand as the compounding benefits of the early integration we did to bring Zurn Elkay together read through the results with more room to go as we delivered the yield on the synergies throughout the balance of 2024. The reality is we've totally integrated the businesses and truly operate as a single business. So all the productivity, supply chain benefits, pricing are all rolling in across the overall business, as are the compounding benefits of all of our continuous improvement activities that happen day in, day out as part of the deployment of the Zurn Elkay business system.
 As you'll hear a little later when Mark goes through the outlook, we have high confidence in the margin profile we've established and will continue to drive -- and as a result, we're raising our outlook for the full year margin expansion from 150 basis points to 150 to 200 basis points with Q2 margins in the range of 24.5% to 25%.
 Our strong margins, coupled with our flexible business model drive consistently high free cash flow and with the $50 million we generated in the first quarter, we used $19 million of that to repurchase about 600,000 of our shares with a plan to continue to do that over the course of the year.
 Now I'll turn it over to Mark. 
Mark Peterson: Thanks, Todd. Please turn to Slide #4. Our first quarter sales totaled $374 million and increased 400 basis points year-over-year on a pro forma core basis. Mid-single-digit core sales growth in our nonresidential end markets was partially offset by flattish year-over-year sales to our residential end markets. With respect to demand in the quarter, year-over-year order growth was in line with our sales growth as our book-to-bill ratio was 1 in the first quarter.
 As Todd mentioned earlier, end market trends in the quarter were consistent with our expectations. We did a bit better with our growth initiatives, which drove the sales performance slightly above our outlook 90 days ago. Turning to profitability, our first quarter adjusted EBITDA increased 24% from the year prior year first quarter to $90 million and our adjusted EBITDA margin expanded 460 basis points year-over-year to 24.1% in the quarter. The strong margin expansion was driven by the benefits of our productivity initiatives, inclusive of cost synergies plus lower material and transportation costs compared to 1 year ago.
 For calendar year 2024, we believe our year-over-year margin expansion will be a bit better than we discussed 90 days ago, and I'll cover more details of that later in the call. Please turn to Slide 5, and I'll touch on some high-level balance sheet and leverage highlights. With respect to our net debt leverage, we further reduced our leverage from 1.1x at December 31, 2023, to 0.9x at the end of the first quarter inclusive of the additional $19 million deployed to repurchase shares in the quarter. We continued to have excellent capital allocation optionality. And as we have discussed, we will remain focused on a balanced capital allocation strategy going forward.
 I'll turn the call back to Todd. 
Todd Adams: Thanks, Mark, and I'm back on Page 6. Over the course of the last year, we've tried to communicate the significant opportunity and competitive advantage we have in the clean, safe drinking water category. As a quick Q1 update, we're very much on track to grow the overall drinking water portion of our business at double digits from a top line perspective and continue to grow the number of filtered units installed while capturing recurring revenue from filters.
 Some of the questions we've got over the course of the year have been so what else is happening besides drinking water. Well, here's just one great example amongst the dozens and dozens of things that are moving the needle for us from a growth, market share and profitability perspective. Here's the Hydro X sensor flush valve, we've just recently launched within our Hygienic and environmental category. We'd estimate that it's a $450 million market category, including the retrofit replace market, where we have a decent #2 share position.
 We're the only one in the market with a unit that is hydro-powered with no solenoid because the 2 biggest pain points in the field are replacing batteries and solenoid failure. We've solved both with the Hydro X. The diaphragm, gaskets and seals are made of an elastomer that lasts 8 to 10x longer than traditional rubber components and taken as a whole, we're talking about approximately 10 years of maintenance-free operation as the unit is powered by Hydro X technology, eliminates constant battering changes, which saves building owners, both labor and battery costs.
 The other key is that it was designed with architects in mind. They want to spec something that looks stylish as well as functional and it's available with Bluetooth as a full connected solution, which helps in remote monitoring, troubleshooting line flushing and predictive maintenance. We're winning with this in large national accounts where reliability and sustainability are critical and it's just one more thing we have in our unrivaled portfolio and ability to deliver content to both new builds and the retrofit replace market.
 On Page 7, you can see our Q1 sustainability impact and progress toward our targets. We continue to elevate our sustainability efforts and are proud of the positive environmental impact our products deliver each day to building owners throughout the U.S. The vast majority of sales in the quarter came from products that deliver a sustainable attribute to our customers, products that reduce water consumption, protect the potable water supply in buildings, reduce energy or GHG consumption or made with high levels of recycled content. Whether it's reducing water usage, filtering out contaminants from water or eliminating single-use plastic bottles, we continue to innovate to address both water-related challenges to public health and conservation.
 Water is so important, and we continue to see growing and new challenges around this vital natural resource that we will continue to address as sustainability is central to how we operate and drive our business. Last one for me is on Page 8, and it's really just more of a reminder. Over the past several years, we've been really intentional about defining our strategy and then going out and executing on it.
 Here it is on a single page. Starting on the left. As a pure-play North American water business, we've been laser-focused on the end markets, product categories, customers and geographies that we want to be in and then cultivated layers and layers of competitive advantages within our current business with room to expand upon that both organically and inorganically over the coming years.
 In the middle, the relentless deployment of the Zurn Elkay business system provides us not only superior execution capabilities but a common language and approach to running our business that drives above-market growth -- above-market organic growth, exceptional incremental margins and substantial free cash flow. Since we've deployed ZEBS to Elkay, we've seen over a 1,000-point margin expansion in the first 18 months with faster growth, better customer satisfaction and a highly engaged team that really has embraced the ZEBS.
 And finally, on the right, we're measuring outcomes and course correcting where necessary. This is something we talk about a lot internally to drive both simplicity and focus and to be able to communicate what's truly a priority or, in some cases, why we aren't doing things. Hopefully, this helps frame what to expect from us over the coming years.
 I'll turn it back to Mark to hit the Q2 outlook. 
Mark Peterson: Thanks, Todd. Please turn to Slide 9, and I'll cover our outlook for the second quarter of 2024 and an update on our high-level guideposts for calendar 2024. For the second quarter of 2024, we are projecting year-over-year pro forma core sales growth to be in the low single digits and we anticipate our adjusted EBITDA margin to be in the range of 24.5% to 25% for the quarter, which is a 290 to 340 basis point expansion over the prior year.
 For the full year, at this point, we see no changes to the sales assumptions we outlined 90 days ago and still believe we will generate positive pro forma core sales growth year-over-year. With respect to our adjusted EBITDA margin, we now believe we will expand our margin between 150 and approximately 200 basis points year-over-year.
 Our free cash flow expectation for the year remains unchanged at approximately $250 million. Before we open the call for questions, just to remind you that we have included on Page 9, our second quarter assumptions for interest expense, noncash stock compensation expense, depreciation and amortization, our adjusted tax rate, diluted shares outstanding. In addition, we've included the prior year second quarter sales adjusted for the executed 80-20 product line exits to calculate pro forma core sales growth in 2024.
 We'll now open the call up for questions. 
Operator: [Operator Instructions] Your first question comes from the line of Bryan Blair with Oppenheimer. 
Bryan Blair: You noted continued double-digit growth in drinking water and further rollout of filtration. Are you going to offer any finer points on the growth rates you're seeing, both at the platform overall and infiltration? And as there's intense focus for the public and now with some government action federally and state level on Lead, PFOS, other issues, how your team is thinking about the multiyear opportunity? 
Todd Adams: Yes. I mean it's very much the same, Bryan, that we've communicated in the past. I would say that when you look at the filtered units growth, that is going to move around a little bit quarter-to-quarter, but over the course of the year, that should absolutely be in the double-digit range.
 I think the algorithm really requires it to be in sort of the high single-digit growth in terms of filtered units growth over a long period of time. And then obviously, filtration is growing significantly faster than that. And that's sort of what happened in the first quarter and what we see as sort of the right algorithm for us.
 So as you point out, I think that the drumbeat around legislation and filtration and everything else continues to ramp. I'm not sure that we're seeing much of any benefit of that at this point. It really is just that core strategy that we've had. And I think over the coming -- over the balance of the year and into next year and probably the year after, that's when we'll start to see the benefit. I think that while some of these things have passed, the implementation path is awfully challenging.
 I mean I think not to say that we were all concerned that it's going to happen. It's just the rollout takes time. And so what we're seeing today is really just the core business and the core strategy we've had continuing to have success, and we expect it to, I think, get amplified a little bit as this thing ultimately gets implemented. 
Bryan Blair: Makes sense. I appreciate the color there. A very strong margin performance in Q1, a pretty robust guide for Q2. So on an LTM basis through Q2, implied a little over 24% margin, nothing to push back on there. It does imply when your current guide for full year '24, there some moderation in back half margin? Can you walk us through what your team is contemplating on the progression for Q3 and Q4? What may drive that moderation? Or it's more so just conservatism baked into guide 1 quarter? 
Todd Adams: Yes. I think it's certainly the latter. I think the approach that we've taken for the second quarter guidance is really just to tell you what we're seeing over the next 90 days. I don't think that there's anything that I can communicate that would sort of give you less comfort about the back half. I think that we're just trying to be a little bit conservative at the start of the year. Obviously, where the sales come in, in the second half will be important. But I think from a cost structure and a gross margin, which is what you're seeing flow through this year, it's all gross margin improvement. That kind of improvement is going to sustain through the balance of the year.
 And so I don't think there's anything that we're going to point to from inflation or things that we see on the horizon are going to give us less confident about that sustainability of the margin in the second half. I think it's just more just a function of -- we're only 90 days in. I think we're really happy with what we're seeing. It's all permanent set of stuff. We're giving you a look at what Q2 looks like. And then we'll revise in the second half, but nothing discrete from that perspective. 
Operator: Your next question comes from the line of Andrew Buscaglia with BNP Paribas. 
Edward Magi: This is Ed Magi on for Andrew. I wanted to ask, so the outlook for interest rates has begun to change in recent weeks. So I was wondering if you could help us spare some detail on recent reserve commentary with the outlook in resi and non-resi construction not changing? 
Todd Adams: Yes. I think, Ed, it helps to understand that when you look at our overall mix, roughly half is institutional and then beyond that, roughly half of the total is retrofit replace. And so while I think on the margin, a lower interest rate environment helps the commercial aspect of our business as part of the residential, I think that -- I don't think that the catalyst that we thought in the second half of having a couple of interest rate cut was going to ignite any sort of significant growth and so the fact that it's not likely to happen or happen to the same level, I don't think really changes our view on that.
 I think the thing to think about is it's a very hyper local market. And so what's happening in one part of the country and the commercial or residential space is -- could be the exact opposite in another part of the country. And I think as you go through the year, we've been absorbing some of this commercial bad news for the better part of 18 months, quarter by quarter by quarter. I don't think there's a cliff in commercial coming. I think we're just absorbing that bad news.
 Obviously, we've seen continued strength in institutional. And then as we talked about share gains and some initiative growth, particularly around drinking water and things like Hydro X are what we see and what we're doing to combat what I think everyone thinks is sort of a lousy commercial market. But I think that's how we see the interest rate environment. It's obviously somewhat sensitive. And if it was lower, it would probably be better but I don't think we're talking about material changes to that in our second half outlook. 
Edward Magi: Very helpful. And then leverage is ticking below 1, the cash flow engine is driving. I was just wondering if you can update us on what you're looking at with the pipeline and the outlook for M&A as it goes through the second half or full year across 2024? 
Todd Adams: Yes. I mean we've always maintained the proprietary funnel and process. That is continuing. I think whether or not something converts over the course of the year is still to be seen. But from a cash flow perspective, I think that we're off to a really good start with $50 million. I think last year in the first quarter, we were roughly flat and ended up at 230. So I think that from a cash flow perspective, we're obviously in a great position. But I think we're going to continue to cultivate things on a proprietary basis and see when things convert.
 But I do think that we are going to continue to generate a significant amount of cash. And so I think that all forms of uses of that cash are on the table. We're obviously going to invest in our core business, continue to cultivate M&A. But as we've talked about, we've got a buyback perspective that we're going to continue to execute against. And then we can review the dividend like we do every year. So I think, all in all, I think we're in a really good spot, but we're going to continue to work the funnel and then try to get some high priorities to convert at the right time. 
Operator: Your next question comes from the line of Michael Halloran with Baird. 
Michael Pesendorfer: You've got Pese on for Mike. Maybe taking a different perspective on the performance in the quarter, obviously called out the helping drinking water. But if we look at the other 3 product categories, flow, safety and hygienic, is there any notable variance between the 3 to kind of get to the net number we're getting to? And maybe if we can exclude the calling of revenue from that discussion, that would be helpful. 
Mark Peterson: Yes, this is Mark. I think when you look at those other categories, there's not a meaningful difference in the quarter in the growth rates. So there's really between flow systems, looking to control, and if I'm not wrong, when you back out what we did as far as 80-20 exits last year on a pro forma basis, there is not a material difference in the growth rates in those categories in the quarter. And we don't expect that over the course of the year to be deviate very much either. 
Michael Pesendorfer: Got it. Easy enough. And then a quick clarification, Todd, when you're speaking to filtration, are we speaking specifically the aftermarket tail in terms of the specific filter sale? Or does that -- are we including the filtered units in that discussion when we're talking about the filtration growth rate? 
Todd Adams: Well, the filtration growth rate would be the discrete aftermarket replacement event. That's the growth rate that's well above double digits. The filtered unit would be in that high single-digit to low double-digit range on an annual basis on a filtered unit basis. 
Operator: Your next question comes from the line of Joe Ritchie with Goldman Sachs. 
Joseph Ritchie: Can we maybe just talk about your -- the differences in your regional growth right now? I recognize that the SKU rationalization is impacting the U.S., but it also looks like outside of the U.S., you guys are growing faster. So maybe just talk about what you're doing to spur your -- whether it's your distribution strategy outside of the U.S. to achieve what you're achieving today? 
Todd Adams: Well, I mean, when you say outside of the U.S., it's -- we're really talking about Canada and probably a little bit of Mexico from an Elkay perspective. And again, I think it's just a function of we've gone through, created a new rep network. We've got some terrific reps in those geographies that we're supporting really well. They're winning in the marketplace. So I don't think that there's any magic to it. It's just -- it's a small number, but we're pleased with the performance and progress, and we expect it to continue. 
Joseph Ritchie: Okay. No, that's good to hear. And then, I guess, maybe just talking about the margin expansion, and you took up the guidance for the full year. Can you maybe just give us a little bit more color on what drove the increase in the guidance? Is that more pricing? Is it productivity? Like what specifically is making you feel better about getting a little bit more margin expansion for the full year? 
Todd Adams: Well, I think, again, we came into the year. I think we tried to provide an outlook that we felt was going to be pretty durable. We had a list of things that we were working on, both from a synergy perspective and then some other things around supply chain that are going to be really important for us, maybe a little bit this year, but more so next year. And we've just accelerated some of the progress into 2024.
 You saw the read through, really through gross profit in the first quarter. We see the same thing in Q2. We've done a terrific job with our sourcing teams to put ourselves in a great spot from a cost perspective over the balance of the year. And then the biggest thing is really just we've got 2,500 people that have bought into continuous improvement. And I think that you can't underestimate that compounding benefit day in, day out, and that's reading through in the first quarter.
 It will absolutely read through the course of the year. And so we're taking it up just a touch as from what we see today. And then we'll revisit where we are in the second half. So I don't think there's any big news here other than it's sort of what we thought we could do for the year. I think we're just sort of pacing ourselves in terms of what we communicate externally. 
Operator: Your next question comes from the line of Nathan Jones with Stifel. 
Adam Farley: This is Adam Farley on for Nathan. My first question relates to your free cash flow guidance. I appreciate the unchanged $250 million guidance on a year. You had really strong cash flow conversion in the quarter driven by significant improvement in working capital. So my question is, are there any further opportunities to optimize working capital through the year? 
Todd Adams: Well, Adam, I think that there always are, going to be. And obviously, we saw a solid first quarter. We've not changed the full year at this point. But I think it'd be difficult to convince you that there's not a bias to maybe do a little bit better than that. And obviously, some of it comes from working capital, but it's stuff that we just work at day in and day out. And so we're off to a good start. And I don't know that there's -- I don't know that I could sit here and say that there's a $100 million opportunity in trade working capital. But I think on the margins, we're going to work to optimize it and get it to a level that we think makes sense for our business. 
Adam Farley: And then in the quarter, there was a noncash restructuring charge. What was that related to? And are there any expected savings related to that? 
Mark Peterson: Yes, the restructuring charge in the quarter was related to the synergy actions that we're working through. There are some facility things that we're doing this year. So it's all tied to the $25 million synergies that we're generating in fiscal '24, Adam. 
Operator: Your next question comes from the line of Brett Linzey with Mizuho. 
Brett Linzey: Just wanted to follow up on the resi part of the portfolio. I know you guys have been 80-20 net down, I think, about 12% of the total pie. How would you characterize the channel inventories and the tone in that part of the business? And then as you look on the other end of all the moves you've made, how is the margin profile relative to the rest of the portfolio. Are we running at corporate average a little bit lower? Just any context would be great. 
Todd Adams: Yes. I mean I think the resi slice of the overall pie is, yes, I think, roughly 12% growth. From a channel inventory perspective, I would say that it is super low. I mean there's nothing in there anywhere. So it's sort of nothing but upside if we see some recovery. But in terms of margins, it is not at the corporate average. It is below the fleet average.
 So when you look at that piece. But it's not miles apart, but it's a good 5 points or so below the corporate average. But it's come up nicely because we're sort of sticking to parts of residential that we think we can build a competitive advantage and want to be in. And so that wasn't the case 12 to 18 months ago. So the margins come up nicely. No channel inventory and a pretty stable end market taken as a whole. 
Brett Linzey: Okay. Great. And then maybe just a more strategic question on the election and tariffs. Obviously, we don't know what the outcome is going to be, but Zurn does have a heavier outsourced manufacturing model. Maybe you could just talk about how nimble that supply chain configuration is. If you can flex it up and down in different regions and so on. if we do enter another tariff regime. 
Todd Adams: Yes. I think we certainly feel like that. I think that some of the conversations around newer tariffs related to steel and aluminum don't impact us. We don't import any steel or aluminum. I think from a supply chain perspective, one of the things that we've been working at really for the course of the last 12 or 18 months is to incrementally reposition some of our supply chain to capture the benefit of avoiding tariffs.
 So I think that when you dial back to 2016, when all of that happened, I think we showed incredible flexibility in moving volumes around to minimize the impact of those tariffs. We still are impacted by some of those. We're further taking action to position our supply chain to avoid those. And so I think we've got high confidence that based on past experience, what we're working on and maybe some of the things that are being talked about that we will have a really good amount of success navigating forward.
 And so it's really a testament to, I think, our supply chain team, finding the right suppliers in the right geographies and really skating ahead of the puck, which we've been doing for the last 12 to 18 months. And that is some of the benefit that we expect to see maybe a touch at the end of the year and then -- but certainly into 2025 and 2026. 
Brett Linzey: All right. Appreciate the insight. Congrats on the quarter. 
Operator: Your next question comes from the line of Jeff Hammond with KeyBanc Capital Markets. 
Jeffrey Hammond: Just I think Bryan brought up kind of legislation earlier in the call, but there's the specific EPA funding for safe drinking water around PFAS. I think the Biden administration put out a couple of weeks ago seems a little more focused at cleanup at the water utility, but I'm just wondering if there's anything in there for point of use drinking water or something that would affect you or any kind of knock on from that specific legislation? 
Todd Adams: Yes. I think the legislation and awareness, Jeff, is certainly helping us. We've had a number of school districts come and inquire about the new PFAS filtration and several have onboarded us. So I think that, that is all net positive. But I think like anything else, there's a way to solve the problem today, right? I mean if you put one of these filters in, it solves the vast majority of the problems down to 20 parts per trillion. That's what our filter takes out as well as most recently, microplastics.
 And so when you think about being able to solve the problem for a very low initial cost and decision, you can eliminate the vast majority of the problem immediately. And I think that is sort of the thing for us. I think waiting on funding from the government to solve this at the municipal level, municipality by municipality is a slow boat. So I think what we're doing is really communicating the features and benefits and value of being able to solve the problem today for a couple of hundred bucks. And so -- but the awareness certainly helps drive that adoption for us.
 But in terms of discrete funding around that piece of it, this particular bill, there's not a ton of it, but I think as you think about solving the problem for a couple of hundred bucks versus waiting on billions and billions of dollars to flow municipalities and that got implemented because that's a tough -- it's a long path where I think we have a more immediate high-quality solution. 
Jeffrey Hammond: That's helpful. Just on your multifamily exposure, maybe just remind us what that is and if that's within residential and just what you've been seeing there? It seems like that was a market that was quite robust, but we're seeing some slow in there. I'm just trying to frame your size there. 
Mark Peterson: Yes, Jeff, we're -- if you look at our resi piece, it's call it 50-50, 60-40 multifamily versus single-family. I think it's -- when you break it out that it's a small piece of the puzzle. We're not seeing anything that's moving the needle for us 1 way or the other. That's kind of embedded in that flattish outlook for us. So at the end of the day, it's not -- we don't see it as a needle mover one way or the other material for the year. 
Todd Adams: Yes. So basically, roughly half of the residential pie would be multifamily, I think is the way to think about it, Jeff. 
Jeffrey Hammond: Okay. And then last one. We've seen a little insider selling, I think, from member -- the CAT, some of the CAT family and the Elkay constituents. Just wondering, one, if they did have more to sell, could you guys do kind of a buyback with that? And any kind of feedback on if this is fine-tuning or something leading to a bigger diversification? 
Todd Adams: Yes. I mean, obviously, the lockup ended at the end of the year. Obviously, there's some personal financial matters that I think the family is managing. We've got no indication that there is a significantly larger amount of this coming imminently. This was more a function of, I would say, just some of that initial reorganization work. But yes, over time, they've communicated to us an intention to hold a significant portion of this for a very, very long time.
 But I do suspect that there will be some selling over the course of the next several years that we can do a couple of things with. We can certainly leverage our own buyback. But I think there's -- there may be a place and time if they wanted to sell a larger piece to do some point of marketed offering. But I think it will all be really well telegraphed and communicated because I think we're all -- we're mutually aligned on making sure that the stock price goes up.
 And so I think that -- but I don't think there's anything to read into it beyond just some initial financial planning that the family is doing. 
Operator: There are no further questions at this time. I will now turn the call back to Dave Pauli for closing remarks. 
David Pauli: Thanks, everyone, for joining us on the call today. We appreciate your interest in Zurn Elkay Water Solutions, and we look forward to providing our next update when we announce our June quarter results in late July. Have a good day. 
Operator: This concludes today's call. You may now disconnect.